Operator: Good day, ladies and gentlemen. Welcome to Vista Gold’s 2012 Year-End Financial Results and First Quarter 2013 Update. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, today is Thursday, March 14, 2013. It is now my pleasure to introduce Vista’s President and CEO and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Fred Earnest: In general terms, the fourth quarter was challenging for the Junior Gold Miners sector. The 18.2% year-to-date increase in share price that we enjoyed at the end of the third quarter was erased and the company traded down after undertaking a financing late in the fourth quarter. Given market performance so far this year, I am convinced that management and the Board acted in a very prudent manner [Technical Difficulty] given all of the information available to us at the start of December. The sector continues to experience pressure from ETF performance which is related to gold price performance which outpaced the performance of gold equities. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed description of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the time over to Jack Engele. Following his discussion of the financial results, I will provide an update on the status of our core and non-core projects.
Jack Engele: Thanks Fred. Good afternoon everyone. I’ll start on with our balance sheet. We had a total cash of $18.3 million as of December 31, 2012. This compares reasonably to our $17.9 million cash balance at the end of 2011. During December, we closed the public offering which provided $10.2 million net proceeds to the company. Our working capital as of December 31, 2012 totaled $60.3 million. This is a significant improvement from our $16.9 million at the end of December 31, 2011. The largest component of this increase is the classification to current assets of the fair value of our investment in Midas Gold Corp. We did this reclassification because the few remaining restrictions on the sale of our Midas shares expire in July of this year. As Fred mentioned, junior equity values have been disappointing recently and Midas is no exception. The fair value of our investment in Midas decreased $50.4 million on the year to a mark-to-market value of $69.5 million at December 31st. Turning to our statement of income and loss; we reported a net loss for the year of $70.7 million or about $0.95 a share. The largest component of this loss is the unrealized $50.4 million mark-to-market loss in investment on the Midas investment that I just mentioned and this is partly offset by a $20.1 million deferred tax benefit mostly associated with that mark-to-market loss. We expensed the total of $27.5 million during the year for exploration and related work, about 85% of that was at Mt. Todd, the remainder in Mexico, mainly at our Guadalupe de los Reyes project. We also incurred corporate G&A expenses of $8.1 million during the year. These 2012 exploration and G&A expenses include a total of about $4.2 million in non-cash stock-based compensation expense. Another component of our net loss was $6 million writedown that is associated with the Colomac mill equipment that we acquired in 2008 for the Los Cardones project. Invecture, our partner at the Los Cardones project has advised that they will not be exercising the right to buy this equipment from us for $16 million. So we are planning an orderly sale of the equipment and expect to realize in the range of $10 million which results in the $6 million writedown. This roughly $10 million proceeds will short of our treasury for 2013 and we are evaluating other non-dilutive sources of capital as well which will preclude the need to issue our equity. That concludes my comments of our financial results. Fred will now give you an update on our core projects.
Fred Earnest: Thank you, Jack for your overview of Vista’s financial results for 2012. I will provide a brief overview of our projects starting with our non-core projects and concluding with the Mt. Todd gold project. At Awak Mas, our partners in the Awak Mas gold project in Indonesia, One Asia, continue to make progress with the evaluation and permitting of the project. We expect that they will complete the requirements of the JV agreement and perfect their 80% interest in the project in the second half of this year. Feasibility and permitting work are advancing, and we are pleased with their in-country experience and ability to effectively manage the government and community relations. At the Los Cardones gold project, formally the Concordia gold project, in Baja California Sur, Mexico the Invecture Group has advised us that permitting as moving forward, although at a slower pace than expected. We selected the Invecture Group as a partner in this project in part due to their ability to bring greater political and capital resources to the permitting process. In the third quarter of 2012, permit applications were submitted for a new project environmental permit, and for a new change of Forest Land Use Permit. Many of you will recall that national elections were held last fall in Mexico; Invecture had hoped that permits would have been issued prior to the change in government in December. In the early stage of review, the change of Forest Land Use was deemed to be incomplete as the Secretariat of Agrarian Reform had not yet resolved the company’s request to validate its ownership of service land in the project area. After consulting with incoming government leaders, Invecture decided to withdraw the project environmental permit application. We have recently been advised by Invecture that they are optimistic about permitting process and believe that they will be in a position to submit both permit applications in the third quarter of this year. This needs us to believe that the earliest that we might see the Earn-in-Right exercise would be in the fourth quarter of this year. We continue to watch developments with great interest and are pleased with the level of Invecture. As Jack mentioned, Invecture has notified us that they will not exercise the right to acquire the mill equipment which we purchased for this project. Accordingly, we have retained A.M. King Industries to manage the orderly sale of the mill equipment all of which is in storage in Calgary or Edmonton, Canada. While we are pleased to report that the sale process has been initiated, we are at this time not certain as to when the process will be concluded. Moving to the other project that we have in Mexico, the Guadalupe de los Reyes project, on March 4th of this year we announced the results of a preliminary economic assessment that was completed for the Guadalupe de los Reyes gold project in Sinaloa, Mexico. The core drilling program completed by the company in 2012 gave us a much better understanding of the geology of the project area. We now understand that the stock work is composed of well defined veins and not widely disbursed veinlets as originally interpreted. This improved understanding led us to design and evaluate a smaller project. In summary, the results of the preliminary economic assessment are as follows: payable production of 327,000 ounces of gold and 4.39 million ounces of silver over an 11-year mine life including average payable production of 35,000 ounces of gold and 253,000 ounces of silver over the first five years. Ore processed through a 1500 ton per day plant with gold and silver recoveries of 93% and 83% respectively through a conventional carbon and lead recovery circuit. Gold equivalent cash cost of $631 per ounce over the life of mine including average gold equivalent cash cost of $568 per ounce over the first five years have been estimated. Initial capital costs of $88.9 million and life of capital costs of $124.3 million with both numbers of which include a 30% contingency and an after tax NPV at 8% discount rate of $57.3 million, an internal rate of return of 21% and a capital payback of 3.6 years using gold and silver prices of $1,480 per ounce of gold and $28 per ounce of silver. I would refer those of you who would like greater level of detail on the Guadalupe de los Reyes project to our corporate website or to the SEDAR website where you can download a copy of the complete technical report. While we are pleased with the results of the preliminary economic assessment and the drilling program that preceded it and are confident that the potential exists to develop a higher grade underground mine-able resource with the appropriate level of exploration, this is not a core project for Vista and we are evaluating our options at this time. Finally, moving to the Mt. Todd gold project, good progress has been made at Mt. Todd in the past year in several different areas. In November of 2012, Brent Murdoch joined the Vista team as a general manager for the Mt. Todd project. Brent and his family live in Darwin and in his previous employment; he was part of the senior construction management team for a multi-billion dollar iron ore processing facility in Western Australia. The commitment to hiring a general manager has initiated the process of transferring many project related functions to Australia and is a very logical progression in the development of the project. We are very happy to have Brent as a part of our team. On February 5 of this year, the Mt. Todd project received a very important water management permit. This approval is a fitting culmination to months of hard work and a significant investment in water treatment at the Mt. Todd mine site. In October of 2012, after months of work to demonstrate proposed treatment technology the company began treating approximately 10 million cubic meters of acid rock drainage that has been pumped and stored in the Batman pit as part of the authorized water management plan from 2006 to 2012. The treatment phase has recently concluded and approximately 90% of the invoice is associated with water treatment and the installation of the discharge infrastructure has been paid. On that note, I'm pleased to report that as of Monday March 11, the key indication of the water in the pit has improved to almost neutral from an initial pH of 3.3 and then nearly up all of the aluminum, chromium, copper, ferrous iron and lead have been removed and that over 74% of the cadmium and zinc have been removed from the upper 15 meters of the water column and the reaction is continuing. These significant improvements in water quality form the basis for our new discharge authorization for the treated water which we believe will set a new standard for treatment technology and compliance monitoring in the northern territory. I would refer those of you who would like more detailed information about the water treatment program to the Mt. Todd website which is www.mttodd.com.au. Of key interest to many on the call will be the topic of progress on the preliminary feasibility study or PFS. Vista originally expected to be able to announce the results of a PFS in January of this year. One of the factors that contributed to the delay in completing the PFS at that time was the competition for limited consulting resources. Several factors since then have caused us to reevaluate our development strategy and to evaluate other project development scenarios as part of the PFS. The continued downturn in the junior gold mining market, ongoing investors and lenders concerns about capital cost escalation in the sector and the large capital cost of new projects in general, uncertainties about near-term and long-term gold prices and our own desire to deliver the best possible project given these conditions have motivated us to reevaluate certain aspects of the project. While an internal scoping study completed in the third quarter of 2012 indicated that a 45,000 ton per day project with 0.4 gram gold per ton cut off grade would be the optimal size for the project. Feedback from the market has prompted us to redefine the term optimal in the context of current market conditions. Consequently, we like many of our peers are presently evaluating smaller scale alternatives with potentially lower initial CapEx, higher turn upgrades and higher return on investment thresholds as a way to one, improved shareholder value and two, preserve the optionality of a larger project should market conditions change in the future. I think this is one of the tremendous benefits of a large robust project such as the Mt. Todd gold project. We certainly have the flexibility that many of our peers do not have. I don't think anyone is more disappointed than I am that we did not meet our original timing projections, but I am convinced that the work being undertaken by our team to deliver the best possible project, positively and inevitably be in the best interest of the shareholders. At the present time, we believe that the PFS will be completed in the following six-day weeks. In conclusion, I know that this has been a lengthy conference call, and I would like to thank you for your interest and patience. We are optimistic that market conditions will turn more favourable but of course we have no way of knowing when that will be. In the meantime, we remain focused on Mt. Todd; we are controlling our cost and keeping an eye on our treasury. We believe that we are adequately financed and have access to sufficient near-term financing including from the sale of the mill equipment. It is not our intent to issue equity in the near-term and we do not anticipate in equity transaction in the current market condition. We are encouraged by the results of the recent work being undertaken at Mt. Todd and I am appreciative of the dedication and hard work of the Vista team and look forward to continue good results as we move forward. We will now be happy to answer questions from some participants on this call.
Operator: Ladies and gentlemen all lines have been opened up. (Operator Instructions) We will pause just a moment to allow everyone an opportunity to signal for question. Thank you. And our first question comes from Marco Rodriguez [Stonegate Securities]. Please go ahead sir.
Marco Rodriguez - Stonegate Securities: I was wondering if you can provide a bit of an update here on Mt. Todd in terms of the permitting?
Fred Earnest: Yeah, absolutely. The permitting is progressing, we have completed almost of the base line data gathering. We are working with the newly formed environmental protection agency and in the northern territory; this is an agency that was formed after the elections last fall. It’s now a technical group rather than a bureaucratic organization. They have requested that we submit a draft EIS for them to review for completeness. We are expecting to be able to complete and be able to submit that based on a 30,000 ton per day operation in the following three to four weeks. Following their review of that document for completeness and following the completion of the prefeasibility study, we will be in the position to submit final permitting documents for the final EIS and be able to incorporate at that point in time the economic benefit, the reserves and other factors that will be reported in the prefeasibility study. At present, we still believe that provided we are able to submit the EIS before the middle of June that we are on track to receive our environmental permit for the project prior to the end of the year.
Marco Rodriguez - Stonegate Securities: Great, and then can you provide a little bit more color here in terms of the change in dynamics for Mt. Todd with the PFS, its obviously your understanding that you are going to changing the scope of the plant there, are we talking like half the quarter, any kind of color you can provide there?
Fred Earnest: I don't know what the end result is going to be Marco, but we are evaluating other scenarios. We are looking at plant sizes from 15,000 tonnes to 45,000 tonnes. Specifically, we are looking at a 15,000-ton plant and then we've always had 45,000-ton on the drawing board since the work that we completed last fall. The reason that those particular sizes have been selected is because they provide scalability. We can easily expand a 15,000-ton per day plant to 30,000 ton by adding another train in the crushing and grinding circuit and then adding appropriate (inaudible). The same thing can be done going from 20,000 to 30,000, we would be taking two parallel trains and adding a third. That's what we are looking at. I think it’s important to note that when looks at plants of those sizes and they think that obviously and correctly so that there will be a reduction in capital it is not linear and that on a unit dollars of capital per ton per day of capacity, the smaller the plant, the more expensive it actually becomes. So there's just one of the things we are looking at raising the comp rate has the advantage of allowing us to extract more margin, more profit from each ton of ore that goes through the plant. Obviously that can have the opposite impact of coming at a higher cost because it’s stripping ratio within any given pit design may go up. These are the kinds of things we are looking at right now as well as trying to ensure that we have a higher internal economic return threshold.
Marco Rodriguez - Stonegate Securities: And last quick question, can you give some sort of a sense how we should be thinking about capital expenditures as we progress through the year?
Fred Earnest: I think that the best way to answer that is that barring the decision to finance and construct Mt. Todd that our capital expenditures will be very, very modest. However should we complete the feasibility study in a favorable way and the markets be of such a condition that we could successfully finance the project then we will be looking at very significant capital expenditures as we go forward with the development and construction of the Mt. Todd project.
Operator: And the next question comes from Derek Macpherson from National Bank Financial. Please go ahead.
Derek Macpherson - National Bank Financial: Just a couple of quick sort of follow-up questions, Marco caught most of mine but I guess what's the plant spend this year both at Mt. Todd and Guadalupe de los Reyes as far as you know (inaudible) programs or even just what to keep the just sort of keep the sites progressing on what's going on now.
Jack Engele: Sure, Derek, this is Jack. As Fred suggested at the end of his discussion, we are focusing on Mt. Todd.
Derek Macpherson - National Bank Financial: Right.
Jack Engele: Minimal programs at Guadalupe de los Reyes just to keep the property in good standing, the burn at Mt. Todd something under $2 million a month.
Derek Macpherson - National Bank Financial: Okay.
Fred Earnest: Yeah, Derek, just specifically with regards to exploration, we have a commitment where in order to keep our exploration licenses in good standing at Mt. Todd, we need to spend a little over a $1 million this coming year and we already spent a portion of that with some geophysical work that we have a couple of exploration targets. We've been target drilling programs and revising efforts in order to meet our minimum expenditure and obviously that will, whether we go beyond that or not it will depend on market conditions and the success of the very modest growing program that we undertake as part of our commitment on exploration licenses.
Jack Engele: Right. Derek, the [broom] comes down a little because we're substantially finished with the water treatment work.
Derek Macpherson - National Bank Financial: And then as far and obviously with Guadalupe de los Reyes you just sort of, I am taking a break there based on the current market conditions. Is that a fair statement?
Fred Earnest: Well, I think it is a fair market statement but I think that more importantly is that it's differentiation between what is a core asset for us and what is a non-core asset for us? We will continue to meet our social and community obligations in the project area. We do not have plans to undertake any drilling at Guadalupe de los Reyes and as I indicated, we're really stepping back and looking at what are our options with regards to the project and how does it move forward.
Derek Macpherson - National Bank Financial: I guess, the other question is what about, what are you guys looking at for corporate G&A for 2013?
Jack Engele: The range is about $5 million to $6 million.
Fred Earnest: Okay, and that’s pretty consistent with where we have been over the last couple of years.
Jack Engele: It's very consistent. That's been the element of non-cash.
Derek Macpherson - National Bank Financial: Okay, and then probably a similar amount of non-cash has been…
Fred Earnest: Exactly, very similar.
Derek Macpherson - National Bank Financial: All right and I just wanted to confirm one thing, and you mentioned on the conference call and I scribbled it down here, but the last quarter, you were saying that the earning right can't, they won’t be able to exercise till Q4 ’13 at the earliest is that?
Fred Earnest: The key conditions for them to exercise, Derek is that they have to obtained the Change of Forest Land Use Permit and also the environmental permit for the project, given that term plans are for them not to submit new permit applications until the third quarter, we don't see that it would be possible for them to obtain those permits prior to fourth quarter this year.
Operator: The next question comes from Brian Post from Roth Capital Partners. Please go ahead.
Brian Post - Roth Capital Partners: Most of my questions have been answered, but I want to go back to the dynamic at Mt. Todd, one thing that’s coming been in the wing that Mt. Todd is the possibility recovery of some of the previously leased material, is that still in the focus, in any part of contemplation of the new scheme or has that been determined non-core and may be a secondary issue?
Fred Earnest: Brian, that’s great question. We are still evaluating our options with regards to the Heap Leach Pad and 13 million tonnes of material that stacked on it. What I can say at this point is that while metallurgically, if we are able to get solution through the Heap it seems to that it would perform adequately and that we would achieve a recovery that would be acceptable to us. We have severe doubts as to whether we could successfully achieve the permit ability through the Heap that we would need to make that kind of the project work. We have undertaken some test work to evaluate the recoveries of consumptions that might be experienced if were to take and process the material that’s stacked on the Heap Leach Pad through the mill and that seems to be encouraging, we are evaluating whether that is something that should be incorporated into the feasibility study once we complete the prefeasibility study. It’s unlikely that we will be able to complete that work prior to the completion of prefeas, but it’s still a possibility but it’s not something that we will see initial or immediate results on.
Brian Post - Roth Capital Partners: Okay, great, and then building on that, you talked a little bit about the flexibility of just the throughput size, any sort of other changes to the plant design, I know that your part of the phase is that HPGR is got to be the solution to the Hardrock but any other changes in the processing that may come with (inaudible)?
Jack Engele: No.
Fred Earnest: No, the process flow sheet remains defined and just to remind you that the ore is hard and with the Bond Work Index of approximately 26 and that there are not many other alternatives for crushing and grinding and so the technology that's employed there as you indicated, we have selected high pressure grinding rolls and we continue to be very happy with that as the appropriate technology. Adjustments in size or daily throughput capacity will really reflect some changes in the size of individual pieces of equipment thus far as flow sheet we are not expecting any changes.
Operator: The next question comes from Jeff Wright from Global Hunter Securities. Please go ahead.
Jeff Wright - Global Hunter Securities: Most of my questions are already answered but I did have one follow-up on Mt. Todd, if you are successful in getting permits by year end and let's say the market conditions did improve, we'd still be looking at long lead time items that would need to be ordered by the fourth quarter, correct such as the HBGR?
Fred Earnest: Jeff, you are absolutely right. If we are going to achieve yeah start up commercial operations by the start of 2016 with permitting or successful permitting eminent it would be looking at ordering long lead time items such as our plant components, primary pressures, secondary pressures, ball mills, HBGR pressure. Those will certainly be things we would be looking at as we get closer to the receipt of permits.
Jeff Wright - Global Hunter Securities: Then follow-up on Guadalupe de los Reyes, if you are now determining this is a non-core asset, are you going to begin exploring potential divestiture or joint venture partners you know what are your thoughts about that?
Fred Earnest: We are looking at all of the above. Everybody will recognize that the results of the preliminary economic assessment we announced Monday with PDAC. We were able to use the PDAC Conference in Canada as an opportunity to initiate conversations with several companies on an exploratory basis to evaluate what their sense of interest is and I don't know what path we will choose but certainly those are among the options we are evaluating.
Operator: The next question comes from (inaudible). Please go ahead.
Unidentified Analyst : I'm a long term shareholder for more than a decade. The question I'm not clear yet is on your cash situation alright. Midas can be sold in July, how much would that generate or would you sell all of it?
Fred Earnest: First of all, let me answer the question, you are really asking two questions, one is our holding in Midas, we own 27.8% of their outstanding shares which and that's 31.8 million shares. That's our total holding at their share price of approximately $1.45 that has a value of approximately $45 million. The second part of the question is that our lock up agreement with Midas expires on July 14 of this year. We at this time are not evaluating options to sell our stake in Midas. We continue to be strong supporters of the Midas management team. We think that Midas is significantly undervalued and we are like many people looking for a turnaround in the sector before we would actively pursue a transaction with our Midas shares.
Unidentified Analyst: Yeah the question I'm asking is you know looking at or listening to the talks every time in terms of cash flow availability (inaudible) Mt. Todd going you know you are not going to have any cash probably for another two years, which means by the end of this year, you are going to be down to a level that you are going to have another financing or do some other options by selling a property which you might do either, but you are going to be tied again a year from now.
Fred Earnest: Your observation is very astute. As Jack pointed out, we have the mill equipment which is for sale at the present time. If investors successfully perfects their earning right at the Concordia or (inaudible) project, that will open the door for us to receive $20 million in cash and then as Jeff asked the question, what are we considering doing at Guadalupe de los Reyes obviously there is its going to be there. These are all things that we continue the monitor, Ralph and certainly the opinion that you are voicing and being kind without voicing, it is shared by other shareholders but at the present time, we don’t see that selling the Midas shares at present market would be good value for us as corporation.
Unidentified Analyst: Yeah, kind of more things are little tight, the question then is, you know, what is the all in cost if you get the various pond checks at Mt. Todd, lets say 15,000 or 20,000. What will be the all in cost? Would we at today’s prices realize positive cash flow?
Fred Earnest: I am sorry, are you asking what are the capital costs or…
Unidentified Analyst: All in capital cost. You are kind of at what level do we generate cash flow out of Mt. Todd?
Fred Earnest: Ralph, given that we've not yet finished the prefeasibility study, I think it's a little difficult for me to answer of your question, the best guidance that I can give you is to refer you back to the January 2011 prefeasibility study, which projected capital cost just slightly under $700 million for 30,000 ton per day plan and we now think that that will be 10% to 15% higher than that. The cash cost that we would expect to see from the project are probably somewhere in the $750 to $775 per ounce produced.
Unidentified Analyst: Okay. Well thanks, you are doing a good job; it’s just that it's a challenging time with less higher cost at all times high?
Fred Earnest: It's a very challenging market, but we appreciate the long-term support of shareholders.
Operator: The next question comes from Joseph Reagor from Global Hunter Securities. Please go ahead.
Joseph Reagor - Global Hunter Securities: Just a follow-up question on this Mt. Todd prefeasibility study; what you guys are looking at multiple options, and just a big picture kind of question on that. In these prefeasibility studies by industry tradition is to use 5% discount rates, some guys have put 8% in, but I have yet to meet an investor willing to take an 8% returns on build project. So is it the dislike in the environment out there for these large scale projects in your opinion a reflection of using the wrong discount rate when doing these feasibility studies in the first place and should may be the industry switch to something more honest call it 12%?
Fred Earnest: Joe that’s a question that gets debated on a regular basis and I would have to confess it’s one of my [pet PUs]. The consensus or the sense that I had after having talked to many analysts such as yourself about this very issue and institutional investors is that while no ones believes the 5%, they prefer to see it standardized at 5% because then they can easily compare the results of one company to another; I happen to be an advocate that many factors should be taken into consideration when looking at project besides just NPV and IRR. Things like geographic location which has implications in many different ways from the climate to the terrain to the amount of infrastructure that has to be built, and political stability, all of these thing is come into interfere and there other factors that you know the ore body, how well is it drilled out, how much is understood about it, what about the metallurgy, how much the test work has the company done; what gold price we’re using, not just the discount rate, what gold price we’re using, these are all considerations that I think are not always understood by the investment community and that probably means to be some very serious and some talks and discussions that are held amongst the industry. We will be reporting at a 5% discount rate, we will report with some sensitivity at other discount rates so that the market can make its own evaluation and put the peg where they want to, but I think that this is one that is actually the source of some confusion and I appreciate you asking the question.
Joseph Reagor - Global Hunter Securities: Okay. I mean that’s pretty much what I was looking for there. And then given that you guys are going to provide sensitivities; are you going to provide it on all the different size aspects of potential CapEx budget so that as analysts and investors we can look at and say, if we, as we move the discount rate up which projects improve evaluation so that you can get a better idea of what maybe the best thing for the investors to do if they were the ones in charge?
Fred Earnest: Joe as I understand 43-101 Regulation rules, we will be obligated to check a case, a base case and that will be our recommended case; we will not be providing an analysis in the 43-101 report on all of the different scenarios we’ll look at. I suppose that there is an opportunity that we could look at that on in some sort of a sensitivity basis, but we will have to select a base case with a given set of criteria and then provide you the investor or investment community with sensitivity based on that particular case.
Joseph Reagor - Global Hunter Securities: Okay. Yeah, if you could provide that sensitivity when it comes out it would be greatly appreciated that was all I really had. Thank you.
Fred Earnest: Okay. Thank you, Joe. I believe that concludes our questions. I would just like to take this opportunity to thank everyone for their participation in the call and your interest in Vista Gold. And I just want to assure you that we are doing all that we can as a management team to advance projects in the most reasonable manner possible and deliver results that you as shareholders will be happy with. Thanks everybody.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect the lines and have a great day.